Operator: Good day, and thank you for standing by. Welcome to Wish’s Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ prepared remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Randy Scherago, Wish’s Vice President of Investor Relations. Please go ahead.
Randy Scherago: Hi, everyone, and welcome to Wish's second quarter 2022 earnings conference call. I’m Randy Scherago, Vice President of Investor Relations, and joining me today are our CEO Vijay Talwar and our CFO and COO, Vivian Liu. Today's prepared remarks have been pre-recorded. There is also a slide deck that has been posted to our IR website which is available for your reference. Once we are finished with Vijay and Vivian's remarks, we will hold a live Q&A session. The remarks made today include forward-looking statements that are related to, among other things, our financial expectations, business and turnaround plans, the turnaround timeline, consumer experience and engagement, expectations regarding merchant relationships and strategic partnerships; the potential impact of our strategic, marketing and product initiatives, including ad spending and the rebrand; and the anticipated return on our investments and their ability to drive future growth. Our actual results may differ materially from the results implied by these forward-looking statements if certain risks materialize or assumptions prove incorrect. Forward-looking statements involve risks and uncertainties which are described in today's earnings release and our periodic reports filed with the SEC. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today, and we disclaim any obligation to update them. Also during the call, we will present both GAAP and non-GAAP financial numbers and metrics. A reconciliation of non-GAAP to GAAP results is included in today's earnings release, which you can find on our Investor Relations website and which is also filed with the SEC. A replay of this call will be posted to our Investor Relations website. I’ll now turn the call over to Wish’s CEO, Vijay Talwar.
Vijay Talwar: Thank you, Randy. I would like to thank everyone for joining our second quarter 2022 earnings call. I will start the call by providing a high-level overview of our corporate rebrand, and then I will share some progress highlights around two of our three foundational business pillars: improving the consumer experience and deepening our merchant relationships. After my comments, Vivian Liu, our CFO and our newly appointed COO, will discuss our third foundational pillar, achieving operational efficiencies. She will then share our second quarter numbers in more detail, and provide our third quarter financial forecast. I will then provide some closing remarks before opening up the call to your questions. An important part of my role as Wish’s CEO has been to focus on our turnaround and rebuild a strong foundation for the company. This has entailed improving and fixing many operational aspects of the company. But another very important part of my role has been to focus on transforming Wish’s corporate culture to one that embraces innovation, challenges the status quo and enables us to consider where we can take this company over the next three years. Today, I would like to start by discussing the rebranding of Wish, part of our first pillar of improving customer experience, which is beginning in earnest this month. The rebranding will highlight many of the fundamental changes that we have made at Wish in recent months, including the new consumer experiences, our enhanced customer service, faster delivery, better on-time delivery rates, our new pricing strategy, and the overall increased consistency of the new Wish Marketplace. We will begin rolling out our rebrand in stages, starting in August, incorporating a new logo, a new design, and new imagery. The rebrand will be supported with a multichannel advertising campaign that is planned to run in our largest markets beginning in August and running throughout the holiday season. In recognition of all the changes underway at Wish, we have also taken the opportunity to reevaluate our mission as a business. Our new mission statement is, Bargains Made Fun, Discovery Made Easy, more accurately reflects our renewed focus on helping value-oriented consumers, discover listings for new products while having fun in a frictionless and convenient way. Once we are successful in making discovery easy and bargain shopping fun, we believe it will, in turn, create a positive word-of-mouth among our consumers, ultimately resulting in higher sales growth. Our investments in the consumer experience have resulted in a continued improvement in our Net Promoter Scores from March through June. Further, we've seen impressive gains in our consumer feedback scores gathered by one of our larger advertising partners. They provide a score on a scale of zero to five, with five being the highest. Based on the feedback they’ve received from people who have likely made a purchase from ads. They have observed our consumer score improving from below two in 2021 to a high of 4.7 in 2022. This effectively moves us from among the lowest performing merchants to among the highest in less than a year. Our marketing team has been diligently testing for additional consumer marketing channels. Our plan is to diversify our marketing spend to balance our traditional media outlets like TV and radio, with newer platforms like TikTok and Snapchat. This will have much greater appeal among our target GenZ and Millennial consumer base. As we continue our path to improve consumer experience, I’m excited to announce that we have completed a soft launch on Android of our revamped women’s fashion offerings. The new experience balances function and inspiration by introducing filters, style feeds and much, much more. We are happy to report that early fashion buying trends were better than we even anticipated. We saw the number of transactions and GMV for fashion increase and our transactions amongst Generation Z consumers increased by double digits. We plan to build on this success with a much broader ramp-up of women’s fashion from mid-August to mid-November. We plan to eventually have over 2,000 new fashion merchants onboarded and over 150,000 fashion SKUs available to consumers to choose from. Our second pillar is deepening our merchant relationships. During the second quarter, we continued with the invite-only process for onboarding our new merchants, while also raising greater awareness about our Wish Standards program. The program has already started to have positive impact on the business, leading to a reduction in customer refund rates. We continue to be diligent in our removal of merchants who violate our policies and do not consistently deliver a good customer experience. Starting in Q2, we rolled out a new commission structure to bring greater clarity and a more competitive commission rates to our merchants. This change was first implemented in Europe in Q2, and will be deployed to the rest of the world, including U.S., in Q3. In the second quarter of this year, we began a monthly survey of our merchants to better understand their needs and garner their overall sentiment towards Wish. The initial findings of our merchant NPS survey indicate that merchants value the ease of onboarding, our global customer traffic and logistics support. We will continue to survey our merchants to learn more about how to make Wish an even better marketplace for their businesses. At this time I would like to turn the discussion over to our CFO and COO, Vivian to discuss our third pillar as well as our financials.
Vivian Liu: Thank you, Vijay. Before discussing the financials, I’d like to share updates on our third pillar, which is about achieving operational excellence. Recognizing the importance of timely delivery to our buyers, we have invested in our logistics and shipping services. As a result, we were able to register an on-time delivery rate of 94% this Q2, an 18% improvement year-over-year. In early 2021, our time to door was on average, three weeks, which put us at a disadvantage among our peers. Improving our time to door has been a strategic priority of our new management team. Over the past 12 months, our efforts have led to a double digit improvement in time to door. Our goal is to roll out a 15-day time to door initiative in all major markets for Wish in 2023. I would also like to take a moment to discuss our business development efforts to globalize our merchant base outside of China. We believe that, over the long-term, it is important to diversify sources of products from other countries in Asia, North America, Europe and South America. As such, we are accelerating our investment in select countries to expand our sourcing capabilities and to shorten the distance between merchants and buyers. Through new merchants we are adding variety and the depth to the core categories on our platform such as electronics, fashion, home decor and hobby products. I would now like to discuss the financial results for the second quarter of 2022. I will also provide Adjusted EBITDA guidance for the third quarter and additional information on the revenue trend throughout the month of July. Our Q2 adjusted EBITDA was a loss of $58 million, an improvement over a loss of $67 million from Q2 2021. The EBITDA result compares favorably to the loss of $90 million to $100 million that we had previously forecasted for Q2. The more favorable EBITDA outcome was mainly driven by lower than expected ad spend, employee related expenses and outside services. In addition, certain operating expenses were delayed as we continue to evaluate our spend plan for the second half of 2022. We maintained a reduced level of ad spend through much of Q2, but began to ramp up in the month of June. The relatively low level of ad spend in Q2 continued to impact our user metrics and financial performance. We had 23 million monthly active users and 20 million last 12 months active buyers in Q2, a 74% and a 62% decline respectively year-over-year. Total revenues were $134 million, a decline of 80% year-over-year. This revenue decline was across core marketplace, product boost and the logistics. It's important to call out two major drivers for the revenue decline. First, the low ad spend. Ad spend in Q2 was just 11% of that in Q2 of last year, which was the main reason for the revenue decline. Second, we continued to simplify prices for our buyers throughout Q2, while the price changes reduced our GMV and the revenues in the near term. We are confident that they bring our practices more in line with industry standards, improve user experiences, accelerate other volume and revenues over time. Q2 gross profit was $42 million, a decline of 89% year-over-year. Gross margin was 31% versus a 59% in Q2 2021. Gross margin performance was driven by a decline in marketplace profitability, mainly due to the rollout of the aforementioned price changes to all geographies, as well as the lower margin logistics business contributing a higher percentage of total revenues. Total operating expenses were $133 million in Q2, 2022, a reduction of 73% year-over-year. Operating expenses were 99% of revenues for Q2 2022, compared with 76% of revenues in Q2, 2021. Lower ad spend outside the services and reduced employee head count accounted for a majority of the reduction of operating expenses. We will continue to focus on operational efficiencies to drive EBITDA and cash flow off size. [ph]  Our Q2 free cash flow was negative $67 million, a significant improvement from a negative free cash flow of $205 million in Q2, 2021. As compared to Q1, we also saw a $79 million in improvement in cash used in operating activities due to cost efficiencies. And the third bulk changes in working capital. We ended Q2 with a solid position of $947 million in cash, cash equivalent, and the marketable securities. Now turning to our outlook for Q3 2022. We expect adjusted EBITDA to be a loss in the range of $110 million to $130 million for Q3 2022. Q3 EBITDA loss is expected to be higher than that in Q2 for three reasons. First, we plan to increase our ad spend in Q3 to coincide with a holiday selling season. Second, we will be investing more to drive Wish’s global rebranding. The rebranding efforts will ramp up throughout Q3 and Q4. Third, the changes to simplify prices for users are now implemented globally. Higher ad spend, rebranding investment and the price changes all drive long-term benefits in buyer acquisition and the retention, but lower EBITDA for the quarter when the initiative are first implemented. As a reference point, our estimated revenues in July, 2022, the first months of Q3 were down approximately 14% relative to our revenues in April, 2022, the first months of Q2. However, this decline does not necessarily represent the expected revenue performance for the entire quarter. July was the first month after the full implementation of price changes. And therefore, the revenue decline in July relative to April was anticipated. But I'm very excited to share that our other volume in July increased over that in April, we expect our total order volume to improve Q3 versus Q2. We are cautiously optimistic that we are starting to see the success of turnaround reflected in more operational metrics, such as higher order volume and the reduced refund rates after we have observed improvements in our NPS score since last Q3. Finally, I would like to remind everyone about two notes. First, our ad spent has been kept at a much reduced level since July last year. The headwinds in the economy, plus our price changes also created a downward pressure on our top line performance during the first half of 2022. Our financial focus this year to date has been EBITDA and cash flows, both registering material improvements year-over-year. Second for the second half of 2022, we expected to restart the flywheel with a continued operational improvement, higher ad spend, and a strategic initiative such as relaunch of the fashion category. Once the flywheel restart higher transaction volume should a result in increased merchant and vendor payments, creating favorable operating cash flows through the change in working capital. We are cautiously optimistic so that we may start to experience such benefits in Q3. Now I will hand over the call to Vijay for his closing remarks.
Vijay Talwar: Thank you, Vivian, and congratulations on your recent promotion as well. While we have made many fundamental changes to the operations of Wish during the year, we cannot ignore the global macro environment, which has changed dramatically in the past six months. Governments around the world are tightening money supply and raising interest rates to tamp down inflation. As a global e-commerce marketplace we are not immune to the changes in consumer spending habits, particularly among the lower income households that shop on our marketplace. There has been a slowing of consumer discretionary spend due to higher energy prices, increased food costs and an emerging recessionary environment. While these macro forces are at play, we remain committed to increasing our spending plans and deploying the fundamental changes that we have made to our pricing strategy. These elements will impact our growth plans for the second half of 2022. As I shared in March of this year, this is an 18 month to 24 month turnaround effort, and we will continue to make progress toward that timeline. While we cannot ignore, nor can we influence those global macro forces, we remain laser focused on improving and fixing the many operational aspects of our business and reaffirm our commitment to successfully executing our turnaround plans. Before I wrap up our call with some closing remarks, I would like to note some corporate governance changes that occurred today. Peter Szulczewski, the Founder of Wish has resigned from the company's Board of Directors. Peter served as the Chief Executive Officer from the company's inception in July 2010 through February 2022. Since inception, he served as Chairman until April, 2021. And then as a Director until now. Without Peter's vision and legacy, we would not be here today. Under his leadership, Wish grew from a small challenger brand into a leading global marketplace,. On behalf of the entire board and Wish’s management team, I would like to thank Peter for his contributions and dedicated service to the company. Peter has converted all his high wording class B shares into Wish class A shares. As a result, we now have a single class structure with wording rights parity for all Wish shareholders. In conjunction with Peter's resignation, the Board of Directors has elected Larry Kutscher as an independent director to Wish’s board. Larry is the CEO of A Place for Mom, a healthcare service company. Larry has more than 20 years of experience driving transformation and growth with data and technology companies. I'm very excited about Larry joining the Board. Here at Wish, I want to acknowledge a number of employees that have recently been promoted internally into new and or expanded leadership roles. Vivian Liu our CFO will also serve as Chief Operating Officer as part of a new COO role, she will lead our global logistics and merchant operations. Devang Shah has become our new Chief Administrative Officer. In this role, he will lead both our legal and HR teams, including recruiting, which is a big focus for us right now. Tarun Jain has been given an expanded role as both Chief Product Officer and Chief Customer Officer with clear accountability for customer service and net promoter score. Jerry Louis has been promoted into a new role as our interim CTO, where he will lead our technology and engineering teams. Mauricio Monico has been promoted to a new role as the Chief Merchant Officer, Mauricio will lead our merchant and logistics product and strategy. I would like to thank these recently promoted individuals for their hard work and determination that enables our turnaround progress. To close. I'll leave you with these final thoughts. First, our concentrated effort to rebrand the company and tell an exciting new story about Wish is the result of our dedicated employees who believe in our turnaround strategy. Second, our relaunch of the women's fashion category on our marketplace has begun to attract new customers and drive growth. Third, we have continued to make progress in reducing delivery times and removing friction from our customer experience, which has resulted in improvements in net promoter score in consumer satisfaction and refund rates. The entire team at Wish has made great strides to transform the culture of Wish into a more collaborative company that is based on transparency, fairness, truth, and a shared mission. Bargains made fun, discovery made easy. I'm pleased with the progress we're continuing to make as we journey back into profitability. None of this would be possible without the amazing team we have. Thank you all for your hard work and commitment. Vivian and I are happy to field your questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Doug Anmuth from JP Morgan. Your question, please.
Unidentified Analyst: Hi, thanks for taking my question. You've got Wesley on for Doug. Just kind of thinking back to last quarter, you guys had noted, revenues were down 30% in April relative to January and that they were down again, 14% relative to April. I guess, just how did things trend through the rest of the quarter as you navigated some of the macro pressures kind of what were some of the biggest headlines and then kind of just to follow up on that. What are you seeing now? That's kind of given you the confidence to kind of restart and reaccelerate the flywheel in the back half. Thanks.
Vivian Liu: Thank you for the question. So first of all, as I mentioned, although April – sorry, July revenue declined about 14% relative to April, we actually saw the volume increased materially relative to April. And we do expect the volume momentum to continue for the rest of the quarter. So without providing a specific revenue guidance for the entire quarter, we feel pretty good about where we are heading in terms of trend. As mentioned earlier, the turnaround first started with the NPS, refund rate. And we have been seeing improvements in those metrics for a while now. And the next metrics follow should be volume, right. And now we start to see the volume improvements for actually a couple months now. And as then after that, we expect to see benefits from revenue and cash flow and last but least, and profit eventually. So you mentioned as a macro economic headwinds. Yes, the inflation, the recession having an impact on everyone, right. And we are in the same boat with – but we are not only one feeling the pressure. And I would say we are confident about stepping up an investment at this time because we are very excited and encouraged by the green shoots we have seen so far and we are ready and holiday season is coming. And the operational improvements are – we have seen a lot of – implemented lot of improvements in the operations and we've seen the green shoots and we're ready to go back and restart the flywheel. And if that's why we are increasing our ad spend in Q3 through Q4. So overall I feel very good about how Q3 and Q4 is heading. But I will let Vijay add additional color as well.
Vijay Talwar: Yes. I think from a biggest headwind standpoint, it's probably fair to call out some regional differences as well. So we did mention last quarter as well, that we saw some pressure on the European business. This quarter we continue to see that pressure, which I think was aggravated by the change in currency as well. And so that, that caused a little bit of pressure for us overall, but overall the underlying trends are much more positive, right. So we talk about the confidence, we talked about NPS last quarter, but now seeing that transit into orders, increasing seeing the on-time delivery rate being at 94%, seeing sort of green shoots in terms of customer retention, all of these give us confidence that we want to move forward. Plus we're obviously heading into the biggest time period from a retail calendar perspective. And we want to make sure we take advantage of this holiday season. So we are being aggressive going into the holiday season. And last but not least, we've had a pretty good sort of test and learn kind of environment from a marketing standpoint as well. So making sure that we are getting our return on investment from the marketing dollars and how we want to optimize that. And quite honestly, how much we want to diversify so that we are not dependent on any sort of one or two channels for that as well so all of that kind of comes together.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Laura Champine from Loop Capital. Your question, please.
Laura Champine: Thanks for taking my question. It's about the EBITDA beat that came from lower ad spending. What drove you to cut the initially planned? I remember the last conference call we talked about you stepping up ad spend early in June versus August. Was it just that you weren't seeing the results you expected, was advertising more expensive or were there just issues delivering that you had not previously anticipated?
Vijay Talwar: Yes. So Laura, if you remember, what we talked about honestly, is originally we talked about the fact that starting last year of July, they're going to cut ad spending. And we were really not going to pick up ad spending till August of this year. Then we talked about the fact that we are starting to see some green shoots, especially with the customer feedback. And we thought about pulling that forward a month or two. So even when we talked about pulling it forward, it would've been pulling forward mostly into July, which obviously is not in the quarter numbers and a little bit into June, but the June numbers are small. And I think this is one of the reasons we pulled forward, because anytime you start to increase ad spending what you have to do is you have to have a nice ramp up, otherwise you really impact your return on that investment. So we did plan on it. We didn't execute maybe as much as we wanted to in June, so maybe we were slightly behind. So it didn't change anything in April or May where maybe we were slightly behind because again, you have to ramp that up in a fiscally sort of responsible way. And that sometimes takes a little bit longer. And so we've had a lot of learnings that came out of June as well as in July. So we feel like we are very well set for the original strategy, which was to ramp up in August. Had we not had those call it party five to 50 days of learning. We would have probably been in a little bit more trouble, but we are more or less executing to the plan that we had laid out. So we did increase a little bit in June, a lot more in July, and then you'll continue to see month on month increases between now and the end of the year.
Laura Champine: And you did make a comment in passing about recruiting being an important part of what you're up to right now, what type of talent are you bringing into the company? And should we see a material step up in G&A expense as a result?
Vijay Talwar: Yes, so Laura, first thing I want to remind everybody that, on March 1, this year, we announced that we are laying off about 15% of our workforce. I would just say that we started out, I mean, we read a lot more about that in the news today, but we started out probably six months ahead of everyone else. That said, we did kind of manage the headcount much more closely for the last six months, because we wanted to manage the expenses with the potential sort of ramping up of orders and revenue and that piece of it. So we have just more recently started to get more aggressive from a recruiting standpoint. Most of the recruiting is actually focused on our tech talent and our product management talent, as well as a little bit on data – on the data side as well. So it’s mostly high powered technology sort of related talent. And that’s really what we are focused on. While we are looking to add more, I think net-net, we will still be down in terms of number of people end of this year, relative to end of last year, because we’re starting from a base that’s significantly lower. And then also we didn’t replace a lot of the talent in the first half of the year to manage the cost down. So while there may be a slight uptick, the reality is it’s not something that we are overly concerned about because we manage that number pretty well. And we continue to be really careful on where we are adding headcount.
Laura Champine: Understood. Thank you.
Vijay Talwar: Honestly, it’s just a good time to be recruiting right now.
Laura Champine: Makes sense.
Vijay Talwar: Thank you, Laura.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Tyler Seidman from Credit Suisse. Your question, please.
Tyler Seidman: Hey guys, this is Tyler. So two questions for me. On Slide 16 in the deck it shows regions where you have your merchants and obviously most of them are still based in China at this point. Can you update us on what percent of these merchants are based in China versus U.S. and rest of the world? And then just secondarily, one more on the advertising spend in the back half. Are you seeing any pressure on performance ads given the current environment? And kind of how do you think about the breakdown in performance marketing versus brand advertising as you continue to ramp in the back half?
Vivian Liu: Yes. Thank you for the questions. This is Vivian, I will take the first part of the question and let Vijay address the second one. First question, so we have started diversify our merchant base, I would say, since a year ago. And we made a lot of progresses in terms of recruiting merchants from outside of China. If you look at the merchant count – as a distribution of the merchant count in China versus outside of China, it has changed I would say materially. We didn’t move the needle. I think roughly it’s still more than 60% in China. But that percentage has improved from diversity standpoint materially in the past few years. Now what we are working on is the GMV distribution. So the Chinese merchants are still come to the platform with very price competitive merchandise and frankly good value proposition. And that’s why this still contribute a very high percentage of GMV on the platform despite being a smaller percentage in the population. So our next step is really to focus on helping bring the next layer of diversity from the product standpoint and the GMV contribution standpoint. And it really helps the new merchants to be more sensitive on the platform. And that’s our focus. And as I mentioned, we have double down the efforts, right? And there are a lot of initiatives going on to bring that to fruition. And we probably update the investor community once we have more. But it is a very high priority for us as a management team. I’ll let Vijay cover the second part.
Vijay Talwar: Yes. The second question is really more about the performance marketing side of the business. Here’s what I would say on that. So keep in mind that we had pulled back marketing in the magnitude of 80% to 90% year-on-year for the last two or three quarters. And what that means is if you look at our 2023 spend, even our plan spend, what we were planned to spend in the first half of the year relative to the second half of the year, it’s a massive difference. So when you look at the growth rate in our performance in our overall marketing budget, we are probably the exception to the rule, right, as the economy has come down, there’s probably a lot more companies who are pulling back on marketing. We are kind of doing the opposite and that puts us in a very unique position. So we are in a position now where we are spending significantly more than we did in our plan to spend in the second half of the year than we did in the first half. And we are doing it at a time when the overall environment is a little bit less competitive. So I think it’s a very – it is the right time for us. We’re also finding that consumers overall are looking for lower prices and trading down because their dollars are stretched in terms of the external environment. So again, attracting sort of the right consumers at our price points, this is the right time to do that as well. In terms of the second part of the question in terms of performance marketing versus the overall marketing or brand marketing, we will continue to be heavily focused on performance marketing. The only difference is let’s – for the first couple of quarters, we were really not doing much on the brand side. So we are probably 90%, 95% focused on performance marketing that might for the back half of the year look more like 75%, 80% instead of 90%, 95%. But overall disproportionate amount of money will still be spent on sort of digital marketing and performance marketing. But we are putting some significant money, both including on TV and radio on the rebranding effort that we are doing, which starts in the middle of August. So that’s kind of how the overall picture kind of breaks down.
Tyler Seidman: Awesome. Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I’d like to hand the program back to management for any further remarks.
Vijay Talwar: Thank you everyone for joining us today. Really appreciate it. Bye, everyone.
Operator: Thank you. Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.